Operator: Good morning and thank you for standing by. Welcome to today's International Paper Third Quarter 2021 earnings conference call. All lines have been placed on mute to prevent any background noise. [Operator Instructions]. I would now like to turn the conference over to Guillermo Gutierrez, Vice President, Investor Relations. Please go ahead, sir.
Guillermo Gutierrez: Thank you, Anjay. Good morning and thank you for joining International Papers third quarter 2021 earnings call. Our speakers this morning are Mark Sutton, Chairman and Chief Executive Officer, and Tim Nicholls, Senior Vice President and Chief Financial Officer. There is important information at the beginning of our presentation on Slide 2, including certain legal disclaimers. For example, during today's call, we will make forward-looking statements that are subject to risks and uncertainties. We will also present certain non-U.S. GAAP financial information. A reconciliation of those figures to U.S. GAAP financial measures is available on our website. Our website also contains copies of the third quarter 2021 earnings press release, and today's presentation slides. Lastly, relative to the Ilim joint venture, Slide 2 provides context around the joint venture's financial information and statistical measures. I will now turn the call over to Mark Sutton.
Mark Sutton: Thank you, Guillermo and good morning, everyone. We will begin our discussion on Slide 3. In the third quarter, International Paper grew revenue, earnings, and margins. And we continue to generate strong cash from operations. We continue to see strong demand for corrugated packaging and solid demand for absorbing [Indiscernible]. We're making strong progress on price realization from our prior increases. Having said that, the supply chain and input cost environment remains very challenging. It impacted our results much more than we anticipated. The widespread supply chain constraints limited our ability, to capture the full opportunity that comes with a strong level of demand that we're seeing. Our middles performed well. However, stretched supply chains impacted volume in our industrial packaging, and global cellulose fibers businesses. Container board inventories in our packaging network improved, in the latter part of the third quarter. And we are in a much better position as we enter the seasonally strong fourth-quarter. Input costs in the third quarter rose by about $230 million or $0.46 per share. Which was more than 2 times what we had anticipated, with cost pressure in just about every category. Our Ilim joint venture delivered another strong performance, with equity earnings of $95 million. On capital allocation, we continue to make significant progress, strengthening our Balance Sheet. In the third quarter, we reduced debt by $235 million. I would also highlight that our pension plan is fully funded. This is a significant milestone that further strengthens the Company. In the third quarter, we also returned $411 million to our share owners, including $212 million of share repurchases. On October 1st, we completed the spin-off of the Printing Papers business. IP received a $1.4 billion payment from Sovamo and we retained a 19.9% interest in the new Company, which we intend to monetize within one year. The teams did an outstanding job executing the transaction in a very challenging environment. The Printing Papers business delivered a strong performance in the third quarter, and we wish Sovamo all the best as they move forward as a stand alone Company. We're laser-focused on strengthening the Company and building a better IP for all of our stakeholders. Tim and I will share more about the progress we're making during today's discussion. Turning now to Slide 4, we delivered EBITDA of $938 million, and free cash flow of $519 million in the third quarter, which brings our free cash flow nearly 1.6 billion year-to-date. Revenue increased by nearly 600 million or 12% when compared to last year. And if we exclude the Printing Papers business, third quarter revenue grew by 14% as compared to last year. We also expanded our margins in the third quarter with realization of our prior price increases. We expect continued margin expansion in the fourth quarter. I will now turn it over to Tim to cover our business performance and our fourth quarter outlook. Tim.
Tim Nicholls: Thanks, Mark. Moving to the Quarter-Over-Quarter earnings bridge on Slide 5, Third quarter operating earnings per share were a $1.35, as compared to a $1.06 in second quarter. Price and mix improved by $0.43 per share, was strong price realization across the three businesses. Volume decreased sequentially. Supply chain constraints limited our ability to capture the full benefit of the strong demand backdrop. We replenished our container board inventories in the latter part of the third quarter, which positions us well, entering the seasonally strong fourth quarter. Our Cellulose Fibers business, demand for absorbent pulp is solid. Our pulp shipments were constrained due to significant port congestion, and our backlogs remain stretched. Our mills performed well. Operating costs benefited by about $35 million of one-time items, including the sale of nitrogen credits and insurance recovery related to the winter storm earlier this year. Supply chains are stretched and transportation costs are elevated for both inbound materials and outbound shipments. Every mode of transportation is tight and we expect the transportation environment to remain tight for the foreseeable future. Maintenance costs decreased as expected. Input costs rose by $0.46 per share, or about $230 million, which is more than double what we had anticipated for the quarter. Higher fiber and energy costs accounted for about 80% of this increase. Corporate expenses were essentially flat, tax expense was lower by $0.04 per share in the third quarter, with an effective tax rate of 18% as compared to 21% in the second quarter. Most of this was related to adjustments to our federal tax provision after finalizing our 2020 tax return in the third quarter. Equity earnings were lower sequentially following the final monetization of our stake in GPK in the second quarter. Turning to the segments, I'll start with Industrial Packaging on Slide 6, We are seeing strong demand across all channels, including boxes, sheets, and containerboard. Third quarter shipment across our U.S. channels improved by 1.3% year-over-year. However, box shipments were hampered by low containerboard inventories, and stretched supply chains. We successfully replenished inventories across our box system in the latter part of the third quarter, which puts us in a much better inventory position as we enter the seasonally strong fourth quarter. We expect supply chains to remain stretched for the foreseeable future, which requires us to carry more inventory given the slower velocity across our network. To put the velocity and the context, our mill-to-box plant container board supply chain is currently running 3 to 4 days longer than our normalized flow. And in some lanes even longer. Taking a look at third quarter performance, price and mix was strong. Our March increases essentially fully implemented, with 128 million of price realization in the third quarter. Volume was lower by $45 million box shipments in North America were impacted by low containerboard inventory, especially in the first half of the quarter. Volume and EMEA was seasonally slower as expected, representing about $10 million of a sequential decrease. Operations and costs were essentially flat sequentially. Our mill system performed at a 100% and providing much needed inventory relief to our box system. In the third quarter, we also received insurance proceeds of about $15 million related to the winter store. These benefits were largely offset by unplanned maintenance costs. We're not seeing any relief on supply chain costs, and our managing risk associated with transportation capacity and congestion across the rail and truck networks. Input costs increased by nearly $190 million in the quarter. OCC and Woodfibre accounted for 120 million of that total. Energy accounted for another $45 million primarily in our recycled containerboard mills and our box plants. Taking a closer look at fiber, our North American packaging fiber mix is around 65% virgin wood and 35% OCC. Wood fiber cost was sharply in the third quarter due to continued wet conditions, across the Southern and Eastern regions, as well as inbound transportation constraints. Wood inventories are below our control limits, and we expect difficult operating conditions again in the fourth quarter. We expect demand for OCC to remain strong with no cost relief, even as generation gradually improves. As a reminder, we consume about 4.5 million tons annually in the U.S. and nearly 0.5 million tons in EMEA. Moving to Global Cellulose Fibers on Slide 7, the business delivered earnings of $96 million. Third quarter segment earnings included 13 million from this Sovamo subsidiary and Kwidzyn mill, which are no longer part of our operations in the fourth quarter. Looking at our sequential earnings, price and mix improved by $59 million. Volume improved by 11 million sequentially, demand for fluff pulp, which represents about 75% of our mix remains solid. Our shipments continue to be negatively impacted by unprecedented port congestion and vessel delays. Keep in mind, we explored about 90% of our volume in this business. The majority of this is fluff pulp that ships and containers. Which is where port congestion is especially challenging. We have systems in place to manage through this environment. However, vessel delays and higher supply chain costs are expected to continue for the foreseeable future. Our middles performed well. We also benefited from about $20 million, of one-time items related to the sell of nitrogen credits, and lower corporate costs in the quarter. These benefits were largely offset by $50 million of higher supply chain costs for export operations. In this outage costs decreased sequentially, while input costs were a significant headwind in the third quarter, driven primarily by higher wood and chemical costs. Turning to Printing Papers on slide eight, the business delivered earnings of 106 million in the third quarter with strong momentum ahead of the spin-off. Third quarter results included the Kwidzyn mill until the sell on August 6. Performance in the third quarter was strong with continued demand recover globally and price realization outpacing rising input costs. Now that the spin-off is complete, the historical results of the business will be treated as a discontinued operation with a full recast of previous periods. And going forward, activity pertaining to the Printing Papers off-take agreement for Riverdale or Georgedale will be included in our Packaging and Global Cellulose Fiber segment earnings. I do want to echo Mark Sutton and thank our teams for successfully executing the spin in a very challenging environment. Looking to the Ilim results on Slide 9, the joint venture delivered another quarter of strong performance with equity earnings of 95 million and an EBITDA margin of 44%. Solid price realization for pulp and containerboard were partially offset by lower volume due to high planned maintenance outages in the quarter as expected. Volume in the fourth quarter is expected to improve. However, shipping capacity remains tight and supply chains to China are stretched. So now we'll turn to the fourth quarter outlook on Slide 10. In industrial packaging, we expect price and mix to improve by $70 million, mostly on the realization of our August 2021 price increase. That includes a negative mix impact as we start to recover some export backlogs. Volume is expected to improve by $65 million sequentially, on strong seasonal demand. Even as we have set down three shipping days. Operations and costs are expected to improve by 5 million, with the North American system benefiting from improved containerboard inventory levels, partly offset by onetime benefits in the third quarter. Staying with industrial packaging, maintenance, outage expense is expected to increase by $3 million. Input costs are expected to increase by $50 million, mostly on the flow-through of higher third quarter input costs were fiber and energy. In Global Cellulose Fibers, we expect price and mix to be stable. Volume is expected to decrease by $5 million. Operations and costs are expected to decrease earnings by $25 million, due to the non-repeat of one-time benefits in the third quarter. Maintenance outage expense is expected to increase by $37 million and input costs are expected to increase by $15 million on higher wood and energy costs. On our outlook slide, we include the sequential earnings adjustment associated with the Printing Papers spin and Kwidzyn sale for a total of $134 million across the three segments. With regard to cash flow, I would note that our cash from operations in the second half 2021 includes cash taxes of about $450 million associated with the various monetization transactions from earlier this year. Remember that the proceeds for these transactions are not captured in our free cash flow. However, the result in cash taxes are included in free cash flow and the majority will be paid in the fourth quarter. Turning to Slide 11, I will take a moment to update you on our capital allocation actions in the third quarter, and what you can expect from International Paper following the recent Papers then. we will maintain a strong Balance Sheet. As we previously said, we're comfortable taking our leverage below the stated target of 2.5 to 2.8 times debt EBITDA on a Moody's basis. In the third quarter, we reduced debt by $235 million, which brings our year-to-date debt reduction to 1.1 billion. We will also complete an additional 800 million of debt repayment by the end of this month. Taking a look at pension, we're very pleased with the performance of our plan this year. Our qualified pension plan is fully funded, and we feel really good about the actions we've taken to improve performance, and de -risk the plan. Returning cash to shareowners is a meaningful part of our capital allocation framework. In the third quarter, we returned $411 million to shareowners through dividends and share repurchases. Share repurchases were $212 million, which represented about 3.6 million shares at an average price of $59.13. Also earlier this month, the Board of Directors approved an additional $2 billion share repurchase program, which raises our total available authorizations to 3.3 billion. We will continue to execute on that authorization in a manner that maximizes value for shareowners over time. With regard to the dividend, our policy does not change. We're committed to a competitive and sustainable dividend with a payout of 40% to 50% of free cash flow, which we will continue to review annually as earnings and cash flow grow. Earlier this month, we decreased our dividend by 9.8% to $1.85 per share annually following the spin-off of the Papers business. This adjustment is well below the 15% to 20% proportion of cash previously generated by the Papers business as we outlined from when we announced the spin last year. Investment excellence is essential to growing earnings and cash generation. We expect capex in 2021 to be around $600 million, which is less than our original plan. Primarily, due to the timing of equipment delivery and a more challenging contract labor environment. We will continue to proactively manage capex and have the ability to increase or pull back if circumstances warrant. You can expect strategic capital to be deployed mostly to our packaging business to build up capability and capacity needs to drive profitable growth. We will continue to assess disciplined and selective M&A opportunities to supplement, our goal of accelerating profitable growth. We can expect M&A to focus primarily on bolt-on opportunities and our packaging business, in North America and Europe. Any potential opportunity we pursue must be compelling value for our shareholders. And with that I will turn it back over to Mark.
Mark Sutton: Thanks Tim, for all the details. I on the slide 12 now. Let's talk about the future and how we're going to accelerate value creation for IP and our share owners. We are building a better IP. At the recent spin-off of the Papers business, IP is really a corrugated Packaging focused Company. We're significantly less complex with a much narrower geographic footprint. In addition, we have strengthened the Company's financial footing, as Tim has described, significantly over the past few years. Our focus profile and financial strength will further enable us to make sustainable, profitable growth and accelerate value creation. As I said earlier in the process, we've been actively working on multiple streams of earnings initiatives over the past year. We established a dedicated team that's been working closely with our businesses and external partners over the past year to identify, develop, and pilot a wide range of highly attractive opportunities, which are now moving to scaled implementation. Let's turn to Slide 13 to see how our earnings drivers ramp up over the next few years. We will deliver $200 to $225 million of gross incremental earnings in 2022. That represents more than two times the dis-synergies resulting from the spin-off. Our value drivers ramp up in '23 and 2024 with net incremental earnings of $350 to $400 million in 2024. These include around 300 million in cost reduction initiatives. And at least 50 million through commercial and investment initiatives. Our earnings catalysts are front loaded with significant benefits coming in 2022 from streamlining and simplifying the Company and scaling a wide range of process optimization initiatives. Streamlining and simplifying is all about agility and effectiveness, the organization is being designed to support a packaging focused Company with a more focused footprint. We are aligning our talent to accelerate performance. We've also examined our processes to increase efficiency and reduce cost. We are implementing and scaling new approaches for areas such as sourcing, supply chain and operations by leveraging technology and data analytics. Let me give you a few examples of these value drivers for 2022. We redesigned our sourcing process for our 200 converting facilities. We're using data analytics and third-party partners to deploy an automated catalog of sourcing options for operating and repair materials in our box plants. This program will deliver meaningful value in 2022. We're also using Data Analytics to unlock capacity in our converting facilities by improving our planning and order execution process. This includes, for example, how we aggregate and planned smaller orders, and how we can optimize our manufacturing mix, in each plant and each network of plants. We have also developed a new application to further optimize containerboard replenishment to our box plants. A system anticipates potential role inventory stockouts, which had been a big issue for us this year, and recommend the lowest cost replenishment option, to reduce premium freight. There are many initiatives that contribute to our value drivers and the savings. We have really good line of sight on the expected benefits in 2022, and the ramp up as we move forward. Our 2022 value drivers not only deliver meaningful benefits in the near term, they are also setting the foundation for IP going forward to accelerate commercial and investment excellence to drive profitable growth. So with that, we're ready to take your questions.
Operator: [Operator Instructions] We'll pause for a moment to compile the Q&A roster. Your first question comes from the line of Phil Ng with Jefferies.
Phil Ng: Hey guys. It's been a challenging few quarters industrial decide. A pretty healthy demand backdrop, so with inventory normalizing for you guys and pricing, flooring through, when do you actually expect EBITDA margins and EBITDA dollar to be up year-over-year Industrial. And now that you have inventory at a more respectable level, do you expect your box inventory attract more in line with the broad industry in the fourth quarter?
Mark Sutton: That's a great question, Phil. What we talked about on our second quarter is we thought it would take at least till the end of the year to get the inventory situation where it wasn't constrained. I think we made a little more progress than we expected in third quarter. And most importantly, September was a lot better than July. but we still have some spotty issues depending on the grade, and the type of end-use box. But we see as we enter into the fourth quarter, the progress we made in the third quarter, we should be getting close to our ability from a Board supply, to really track our own box shipments with the market. And we will continue to see EBITDA margin and absolute EBITDA improvement, as we go forward. As you know, and as we outlined and Tim talked about, we got it wrong on a number of our cost initiatives, in our outlook for the fourth -- for the third quarter. That obviously, took a bite out of our EBITDA margins. We really expected to be, EBITDA margins in the 20 - ish plus percent in the third quarter and we didn't get there, primarily on the back of some costs that were as I said, in some cases, twice as much as we thought they would be. Some of those costs like OCC are our own estimates about supply, demand and generation, and where we're going to buy it from and what the transportation component is. And some of those costs are simply public information that I think all investors use like the natural gas strip and things that are kind of publicly available and in a big way, we sort all got it wrong on that sense, but I'm encouraged that we're making progress. We're going to get the -- as we mentioned, the price flow-through is going well and we're going to see our margins expand. And we are positioning the Company to have no reason why we can't grow in box and in our other channels, which we had a lot of success. A board that goes whether it's to our equity partners or whether it's pure open market. And that goes into the U.S. box business as well. That overall, three-channel approach, we're doing quite well. Our own box plants have suffered primarily from the ability of us to get the right containerboard into the right plant at the right time. It may show up two weeks late and the order had to be made two weeks earlier. So that's in a lot better shape and I feel good about that right now.
Phil Ng: Got it, Mark. That's helpful. As a school of thought, I mean, I think a lot of people have thought four weeks of inventory is about balance, but appreciating the challenges the entire industry is seeing on -- from a supply chain, what's balance for you? Because when we looked at the inventory data from the box data, it really perked up a bit. It raise some alarms. But give in some of the supply chain dynamics, help us understand what's a good level in this backdrop.
Tim Nicholls: Hey, Phil, it's Tim. So right now, I think we've mentioned it in some of the comments as we went through the slides. But we're 3 to 4 days longer or slower, in terms of velocity, to get more from the mill to the box plants, than what we would be in a more normalized type of environment. So just think about the size of our system that's a pretty big number. Just to make sure that more is arriving in time to be consumed for box customers.
Mark Sutton: So I think the native Tim 's comments as we don't know if that 3 days to 4 days is going to go to 5. It depends on velocity through trucking and rail, primarily for container board ports or more of an issue for Cellulose Fibers. But planning for that, one, two and three months out, is what we're doing now. And I think you're going to probably see for IP, I know, inventory above our normal historical is a good investment right now because it leads almost automatically to a sale of a box.
Phil Ng: Got it. That's helpful. And just one last one for me. Certainly generate a lot of cash, you've announced a sizable buyback program and have about 3 billion buyback available. Any color on the pace in will you look to use vehicles like KSRs and just broadly. How do you plan on deploying some of that excess cash on your Balance Sheet in the near-term?
Tim Nicholls: Yes good questions. The summary comment would be we've not changed the framework of how we think about capital allocation and deployment. We've done a lot to try to de -risk the Company through Balance Sheet and pension. As I mentioned in the comments, our qualified plans now fully funded and it's been a long time since we've been in that position. So going a little bit lower on leverage is something we've been pointing to for probably more than a year now. On share repurchases, we are -- good news is we have the added authorization to work with. We're going to constantly be looking at how we're trading versus our view of intrinsic value and will modulate as we go through in time based on that view.
Mark Sutton: I think the thing I would add to Tim 's comment, Phil, on the capital allocation fees, we've never been in recent memory or even distant memory in the position we are in today, relative to our Balance Sheet, the cash generation and the ability to really consistently move cash through all elements of our value creation framework. So we're committed to the dividend. I think investors and everyone that follows us knows that. Share repurchases had been spotty. We're in a position now to have that be consistent. As Tim said, based on our view of intrinsic value and how we think about trying our best to do that as smartly as we can, but it will be consistent. And then, on the investment in our own business, investing in our current cash flow, meaning our current facilities, investing in cost reduction, and investing in smart growth, which tends to be in our system, bolt-on type of growth. That's really what we're planning on doing. And we're in a position for the first time in a long time to be able to actually do that, and do that well, and do it consistently.
Phil Ng: That's great color, great to have that all optionally. Really appreciate it. Thank you.
Operator: Your next question comes from the line of Anthony Pettinari with Citigroup.
Anthony Pettinari: Good morning.
Tim Nicholls: Morning.
Anthony Pettinari: The detail on the value-creation initiatives is really helpful. There's a reference on the slide to meaningful improvement in Global Cellulose Fibers Performance. And I'm just wondering if you can talk maybe broadly about the drivers to improve that performance. And then, we've seen other paper and packaging companies where the benefits from some of these large initiatives, maybe ultimately get competed away. I'm just wondering if you could talk about your confidence that you will see this fully fall to the bottom-line.
Mark Sutton: Our plan obviously is to not let them get competed away. Some of the initiatives are, we can leave a bit unique to higher scale and footprint. And it's going to be our job not to let them get competed away. On the Cellulose Fibers questions specifically, this is an ongoing story of improvement in the way the business operates, the way the business goes to market. As I mentioned, I think two quarters ago, we should expect a steady quarter-by-quarter improvement in the performance of the business, and we're seeing that. We're seeing that despite some of the unforeseen supply-chain issues which, don't worry me so much strategically because, I don't believe that will be a permanent state of port velocities and all of those kinds of things. I think we will have a much better business commercially on the customer mix, the pricing strategies, the contract mechanisms. As I mentioned, a couple of quarters ago, that's a multiple quarter process. And I said we should see quarterly check-in points like we're doing today. In which you'd see continued improvement, and we had a really strong third quarter. I think we'll continue to see that, I think the supply chain will normalize, no one knows for sure when maybe second half of next year, I don't know. But the running of the business for the long term with the right customers and the right commercial arrangements will continue to produce long-term improvement in the business. And so, the value drivers I outlined that are in the Data Analytics category, a lot of that has to do with International Paper specific initiatives. There are other initiatives that are maybe more generic, that are in the plan, and then we're scaling, but we feel real confident that this is an opportunity for us to step up our earnings.
Anthony Pettinari: Okay. That's very helpful. And then just maybe staying on Cellulose Fibers. China 's implemented this dual control policy, which I think has shut down a lot of capacity, maybe including some converters that are buying pulp. It's hard for us to fully gauge what's going on, on the ground. Can you just remind us the percentage of your Cellulose Fibers sales that are going to China. And then the impact, if any, from the stool control policy, it seems like fluff prices have actually shown a fair amount of stability. So just wondering any comments there.
Mark Sutton: So the rough percentage of our fluff that goes to China is in the 30 - ish percent range. So about a third of our absorbent products goes there. And we have a really -- the majority of that 30% is premium customers and converters. And so we haven't seen a major impact from those issues. I think some of those that are affected more are smaller, I will call it, Chinese only companies not multinationals. And the benefit of dealing with a multinational value chain is that you have predictable customers who get [Indiscernible] navigate those things. The challenge is it's large buyers with sophisticated purchasing procedures and contracts. But we like the customers we have especially given some of these things that are going on.
Anthony Pettinari: Okay. That's very helpful. I'll turn it over.
Operator: Your next question comes from the line of Mark Wilde with Bank of Montreal.
Mark Wilde: Good morning, Mark, good morning Tim.
Mark Sutton: Hi Mark.
Mark Wilde: Two more Mark, I wondered if you could just help us unpack the cost pressures in Industrial Packaging with maybe a little more detail and maybe segmented between of North America and Europe. It looks like if we go back through your last four quarterly bridges that your costs in Industrial Packaging were up approximately a 100 ton upon over the last four quarters. So maybe just a little more detail around that.
Tim Nicholls: Yeah. I mean, between the U.S. or North American and Europe and just given the scale of the business. Most of it is going to be in North America, and really, it's been the exposure to OCC, energy, and chemicals. I mean, more recently would but the longer-term stories before the wood impact in the third quarter, was really around OCC and energy costs, primarily natural gas. And it's moved rapidly. And so, I think that's what you're pointing out on your cost per ton number. And just trying to keep up with that with price. So year-over-year, we're a little bit ahead of that on price. Our opportunity now as we're implementing this current price increase, that margins can expand beyond what the input costs have done most recently.
Mark Wilde: Tim, how much of that cost increase would you say is that the converting level? I just looked at your cost per thousand or per ton in the box business. You think about labor, you think about transportation, you think about all those inputs. How much will those costs be up?
Tim Nicholls: I mean, we don't break it out like that, but there is an impact. A lot of it goes to the mills just thinking about the inputs you mentioned, and their consumption. But in the box and the box system, you have materials that are unique to converting. Think about wax and other things where, we have seen price escalation. Also, we're seeing higher labor costs kind of across all of our businesses, and converting is impacted there as well. So it's more on the mill side and converting, but converting for the cost structure that the converting plants have, it's not in material.
Mark Sutton: I think Mark you're converting question Mark. The unique thing that's happening in converting given the demand is, on the labor side. Our employees have shown up every day and done a fabulous job through this entire pandemic. In some cases, we had plants that were designed pre -pandemic to run five days a week, which is not uncommon in the Box industry some worked 24/7 but not a lot of them. We've had to ramp up over time and our employees have had success at the challenge while we try to hire permanent employees, which has been a real challenge in certain parts of the country. So that elevates a big portion of converting cost is labor, unlike in a mill system where the cost trend to be the inputs. And then, transportation has been a real challenge. And again, some of it's regional. But I think those -- the cost increase is on the labor side, whether it's overtime review employees, it's still the right thing to do because it allows us to get more revenue and more sales.
Mark Wilde: Yeah. And I guess for follow-on, I'm just curious, Mark, it's been a while since we talked about the ownership at Ilim. A few years ago, there was a lot of debate about whether it makes sense to have a bigger stake and to be able to consolidate the EBITDA. I'm also conscious that you've got kind of a single partner on the other side, who may have some estate planning to do. Can you just help us think about the ownership structure for Ilim going forward?
Mark Sutton: We get that question either on calls or in meetings, and our answer is we like the structure we have right now. We think it's all things considered. So all things considered, the way the business is running geopolitics, the whole risk profile of the Company, the other things we had going on in the last couple of years to streamline IP. We believe the 50-50 joint ventures is the right structure. What we are working on is improving Ilim, and the Ilim team is doing a great job investing in their business and growing their business. It's the number one competitive position to serve softwood fiber products to China. And we want to try to find ways to get as much of that value reflected for that 50% ownership position into the shares of IP that we can. So the strong dividend we get, the equity earnings, the exposure to a fast-growing Chinese market in an innovative way, we hope will resonate over time. Ownership changes are always under consideration but it obviously wouldn't talk about something we haven't done. We are very comfortable with the structure we have right now. We have very good partners and we have a great management team that's running the business very-very well.
Mark Wilde: Okay. That's really helpful. I mean, I think all of us on the outside could see why in a lot of respects that having a strong local market partner over there makes sense for IP. I will turn it over. Thanks.
Mark Sutton: Thank you, Mark.
Operator: Your next question comes from the line of George Staphos with Bank of America.
George Staphos: Thanks. Everyone, good morning. Thanks for the details. Mark and Tim, I want to go back to slide 6. There's been this narrative from a lot of people in the industry that, labor shortages and supply chain, all things that we've been reading and hearing about. Have not only increased costs, but also prevented converters integrated companies, from hitting demand that they see ahead of them. And certainly you pointed that in that slide. Would it be fair to say that [Indiscernible] they are going to be some apples and oranges in this, that the difference between the 1.7% box shipment trend that you saw in the third quarter, relative to the channel growth that you saw or I think you saw, 1.3% was largely those constraints and maybe that's putting too fine a point on it. But what do you think was the loss volume opportunity in [Indiscernible] in the U.S. for you because of that and the related question would be, how much of that loss sales, whatever the number, winds up being recaptured, and how much is permanently lost. Because some things that we're shipping boxes for right now, we're not going to be having Hanukkah and Christmas in February or March. So how would you have us think about those two questions?
Mark Sutton: I think on the reason for the shortfall, the quarter evolve something like this, July we still had more containerboard shortages in different parts of the box system. And we had a heavy order intake and in some cases we just couldn't take the orders. But I will tell you, the majority of the business that we're not getting is new and incremental business. We're not seating share in our existing customer base, so we're unable to always say yes to an order when order when a customer wants -- a new customer wants to give us additional business for the next few months or something, not a long-term contract. The biggest issue July was very difficult. August was better and we were much closer to the market in August. And in September, we were basically tracking with the market. So we improved through the quarter and for us it wasn't labor, labor is a cost issue for us. For us, it was mostly the containerboard availability in the right box [Indiscernible] at the right time. So our inventory recovered nicely in the quarter, but the majority of that recovery occurred in the last month of the quarter. So the foregoing sales really occurred in July and August and it was hard to go -- we couldn't go back and get those. That's why I'm confident even though it wasn't smooth through the quarter, we are entering the fourth quarter in a much healthier position. There is still, as I mentioned on my remarks, a few areas and a few segments that use a specific type of board that we might make it only two mills that we're still tight on. And depending on where demand is and how slow trucks and trains are, we may end up in an issue, but we are in a much better position. So labor wasn't our demand or growth issue, labor is a cost issue because we're asking people to work overtime to make more product. The Board availability was our primary issue.
George Staphos: So Mark, would it be fair to say that again, there is 2% plus that was perhaps foregone. But you're in a pretty good position to recapture that in the fourth quarter, is that an over simplification?
Mark Sutton: It's an oversimplification, but I know what question you're trying to ask and I would say yes. We don't believe we've lost demand. The kind of demand that we couldn't take in many cases is not demand that's loss. Our network is so flexible. Many, many customers that don't buy from us today, want us to be a part of their supply base. They still want us to be a part of their supply base in November when they come back to us.
George Staphos: Okay. Thanks for that. One question on pulp and then one question just in terms of other things that you're doing at the Company to improve value. So as regards to pulp, and we covered this a lot on these calls. We and our colleague analyst. Yes, you saw improvement in the third quarter, but if we do the waterfall into the fourth quarter, we're back to relatively low EBITDA levels for Global Cellulose Fibers. Yes, fluff is less volatile, but we're seeing obviously, commodity paper grade prices dropping pretty sharply. And so, can you remind us what ultimately you would like to see -- what you think would be a fair EBITDA return for the business, for it to be a value creator within the IP portfolio. And then, my other question, you're obviously doing some tremendous things to improve costs and improve value within the Company, the spin of Sovamo, the cost reduction, and commercial initiatives. I think you mentioned at least a couple of times on this call today and we've heard it throughout earnings season already. These are unprecedented times in terms of costs and supply chain inflation. What other things might you be contemplating away from cost but on the commercial side, that might be reflective of a new paradigm and how IP might need to address these challenges to improve return of value for its shareholders going forward? Thank you and good luck in the quarter.
Mark Sutton: Thank you George. And the first question on Cellulose Fibers, the business is a value-creating enterprise for IP when the EBITDA margins or just north of 20%. And we have that in the third quarter actually. We have value-creating returns and there were some oddities and one-offs. We got a cost structure right now that the business -- any -- no forest products business has ever seen and a supply chain going up that no one's ever seen. I don't believe any of that will be permanent. And so thinking about the business strategically, at the current price levels, at the improving commercial arrangements where we are getting paid for the value we provide for our customers and a future cost structure that is a little more normalized. I think we can be a lot closer to, and we will hit some quarters, whereas a purely value-creating enterprise. Then the question is, how do you get it to be their permanent mixing? We have our packaging business, and that's what we're working on. On the other investment question you asked. An example of some of the things we're working on that are not costs related, will be primarily almost all of our near-term investments will be in the converting system. Aside from just normal protection of cash flow in your mill investment. But things like ideas that we have started to pilot, and we've now done and it's working well. The wide range of customer segments we have. So e-commerce as a general set of customers and a segment is an entirely different set of demands in a plant than more general food uses for example, in boxes, and having e-commerce only, small focused facilities that are located, almost co-located with our customers is an example of investments that we're beginning to develop that will help us on the commercial side. It does two things: It puts the right assets for the right segments in place. And it keeps that business from detracting from the efficiency of the larger plant, which was never maybe built to do that type of packages at that kind of throughput. And so you immediately unlock capacity by making investment A, you've essentially made investment B, by just not running all that stuff in the current plants that it's running it. And you'll see more of that as we go forward.
George Staphos: Alright. Thank you Mark. Thank you, Tim, I'll turnover. Have a good quarter.
Mark Sutton: Thank you.
Operator: Your next question comes from the line of Mark Weintraub with Seaport Global.
Mark Weintraub: Thanks, Mark, Tim. So a couple of follow-ups. First just on George 's question, when he was asking about box shipments and you answered, what was an impairment for your relative performance, particularly in July. I think part of the question also is relating to the overall industry box demand in the third quarter looks lower than what people have been anticipating and whether how much of that is being impacted by supply chain or labor issues in the industry, or perhaps with the customer. Particularly given the cost environment that we're in, people are just trying to figure out what can be next steps here to get to the types of margins. And so, specific to from a overall industry perspective, is there a view you can share as to how much demand may have been temporarily depressed versus maybe there's just more generic slowing going on in the business environments?
Tim Nicholls: Hey, Mark, it's Tim. So first of all, third-quarter, fourth-quarter comps are tougher given what happened last year. But I think what we're saying supply chain is affecting everyone. So you look across not only what we're doing in terms of trying to supply customers, but there are supply chain issues across almost every segment that we serve. And that probably I can't quantify it for you, but we know anecdotally that it exists.
Mark Weintraub: So would you say those specific to the Containerboard or BUCKS Business, those supply chain issues and labor issues are also an impediment or is it more just -- more the customer level from where you sit?
Tim Nicholls: No, I mean, we have experienced our own supply chain constraints. There have been at least 10 anecdotally issues of customer constraints as well; Hiring and being able to source and move product, is an issue that I think is widespread across the economy.
Mark Sutton: Yeah. I think part of what you're hearing Mark about the concerns, about maybe the U.S. holiday season, will you be able to get everything you want? Because people are probably going to operate on their prior patterns, and they will start to look at shopping, whether it's brick-and-mortar online. In the November time period, I think there's going to potentially be a lot of disappointment and so the anecdotal comment Tim made is, customers have told us they could sell and ship more if they had more employees to run their factories. So they're working, they are doing just what we're doing. They're working overtime, they're trying to hire people, but everybody is trying to hire the same people. If you're in an industrial supply chain because it's semi to very skilled labor. And everybody is competing for the same people. And there aren't that many of them out there. That will at some point, I believe correct itself, because there is a ton of money as you all know, pent-up in people and companies to buy things, and I don't think that pent-up demand is going to go anywhere. We are probably going to pass through a period of frustration where people can't get everything they want, you see that in a number of segments. But I think the demand driver is the money people have to spend and consume, and that's not going anywhere. I think once we can all produce what the demand level is through the value chain, we will see, robust demand in the kinds of products that used corrugated for foreseeable future.
Mark Weintraub: Okay. Great, sometimes you have in the past given an indication of where you thought year ahead box demand might be [Indiscernible] incredibly difficult to be predicting that right now. Perhaps why I'm asking the question, do you have a view as to what the next 6 to 12 months on the box demand side might hold, that you can share?
Tim Nicholls: 6 to 12 months is looking out -- in this environment, looking out quite a long way. I think we feel good in the moment. We -- we're our cut-up as we are in October sequentially, is up between 4 and 5%. So we're taking it month-by-month, quarter-by-quarter.
Mark Weintraub: And what is that year-over-year, I'm curious if you could share that for the October?
Tim Nicholls: Probably flattish on a strong comp last year.
Mark Weintraub: Okay. Great. And one last quick one. A follow-up too. You mentioned three to four days more cycle time in getting Board through the system. On a percentage base, what would it normally be? How big an increase is that relative to normal?
Tim Nicholls: Well, we moved roughly 40+ thousand tons a day. So it's three to four, so a 120 to a 160 but in some lanes, it's more than four days. But it's a big number.
Mark Weintraub: I'm sorry. I meant is it normally two weeks, three weeks, and it's an extra three or four days or what would the --
Tim Nicholls: Yeah. We don't typically talk about how we move products in between our facilities, but the increment is a big increment.
Mark Weintraub: Okay. Thanks Tim.
Tim Nicholls: Yeah.
Operator: Your next question comes from the line of Adam Josephson with KeyBanc Capital.
Adam Josephson: Thanks. Mark and Tim, good morning. Hope you're well.
Mark Sutton: Hi, Adam.
Adam Josephson: Hey, Mark and Tim. Tim, just one on the dividend. so can you just talk your initial expectation obviously, last December is that you had reduced the dividend by 15% to 20%. In conjunction with the papers spend, you ultimately decided it would only be 10%. Can you just walk us through your thought process. Why 10 as opposed to the initial 15 to 20? Or no dividend reduction for that matter. Can you just walk us through anything, what transpired since last December along those lines?
Tim Nicholls: At the time we were looking at historically the performance that Papers had contributed to, overall earnings and cash flow performance. And then as we've gone through the year, even though we would've wanted to perform better, had we not had some of these constraints and issues around the supply chain. We felt good about the performance and we felt good about as we look out into the next couple of years. The performance of the Company from a cash flow standpoint. So the key message was returning cash to shareowners is an important part of our capital allocation. And we do it partly through dividend and partly through share repurchases. And we felt like we had latitude to reduce the dividend by smaller amount than what we originally pointed to.
Adam Josephson: Got it I appreciate that. And Tim, one more for you and then just one for Mark, just on the topic of guidance. I've asked you this on previous calls, but just given the enormous uncertainty, supply chain, inflation demand, you name it. How comfortable do you think you would see giving full-year guidance come next year now that the Paper spend is behind you, Kwidzyn sale is behind you, etc. Or are you concerned that there's just so little visibility that it may create more problems than it helps you by doing so.
Tim Nicholls: Well, probably a lot of time and events that transpire between now, and the end of January when we report fourth quarter and think about 2022. Seeing some normalization to some of these issues that everyone's pointing to, would be helpful and probably necessary to give, a longer-term outlook for performance of the business, in a quantifiable way. But I do think given the issues that we've come from and where we are, having repaired the supply chain. Starting to scale the initiatives that Mark covered in his commentary, felt pretty good about how things are beginning to shape up for 2022. So let's see, let's see where we are, but it's something that's in the January.
Adam Josephson: I appreciate that. And just Mark, one more on box demand for me, which is I think we're all caught offsides by what happened in the third quarter. We all expected some growth, or speaking for myself at least. The supply chain issues don't seem to be going away anytime soon. Is it reasonable to expect embedded in your volume guidance 3Q to 4Q if I think 65 million of growth in industrial packaging? Are you expecting to be up year-over-year in the fourth quarter or flattish or can you just give us any sense of what you think you're going to do or the industry might do relative to the third quarter, which was obviously unexpectedly flat because of some of the issues you flagged?
Mark Sutton: I think Tim mentioned the October experience so far and -- on a year-over-year and called it flattish. We would expect pretty close to last year. So flattish on a year-over-year basis, which is on a pretty -- as you know, out of a pretty tough [Indiscernible].
Adam Josephson: Yeah.
Mark Sutton: For us, the confidence in that 65 million of earnings improvement from volume that Tim talked about, it's primarily, kind of, again, an IP specific. We are much better positioned with containerboard inventory going into this quarter so that we won't have to forego some of the sales opportunities we just couldn't meet in the, really, second and the third quarter. So that's why we feel confident. Again, our restriction was primarily our containerboard available. In theory we could have put containerboard to our box plants by cutting off other customers that are just as profitable and just as strategic, of course we didn't do that and we wouldn't do that. So now we are on the ability to take these very high value open market channels that have really been growing nicely, and our own box business and not be as constrained as we have been by containerboard. Downstream from us and including us, the labor component that our customers are dealing with, I think will begin to improve. I think the demand environment and the supply chain issues in the third quarter and the labor challenges, I think surprised a lot of people in a lot of different value chains. And of course they've been working on it. There's a lot of innovative approaches to hiring people right now. And that will produce some positive results, I believe in the fourth quarter. And at least from what our customers are telling us about their expected demand and what they want us to prepare for, they are planning on solving some of their -- for them mainly labor issues to have enough people to work to make the products they have demand for. So we think some of that will be getting better over the next few months.
Adam Josephson: Okay. Thanks a lot, Mark.
Operator: Our final question comes from the line of Mike Roxland with Truist Securities.
Mike Roxland: Thanks very much. Good morning, Mark, Tim and Guillermo. I appreciate taking my questions today. Just two quick ones. Just realizing the supply chain, obviously, this tremendous headwinds to volumes. Can you talk just a little bit more about the specific end-markets themselves, and if there were any sectors that either stood out as being advantages or disadvantages? And then, just specifically on e-commerce, what are you seeing there? Particularly some of the larger e-commerce players, would it be Amazon or Etsy have indicated more modest growth.
Mark Sutton: Well, we deal with most of the major players in E-commerce, whether it's B to C, E-commerce or B to D E-commerce. And our customers, the once we have and we don't speak for any of the industry, the ones that we have are still pretty bullish on their fourth quarter and are asking us to prepare for levels of demand that are still very, very strong. On the first part of your question around supply chain, I think anybody who's transportation heavy like, some of the food companies, are struggling with some of the same velocity issues that we're struggling with. Anybody who is taking in products from outside the U.S. and has to get through the ports, are running into product availability. Then on the labor side, I think it's a smattering really everywhere. The competition is most heated in the more populated areas. You might have a distribution center for an e-commerce player, and a box plant from IP, and two box plants from other people, and another light manufacturing of some type, all competing for skilled labor. If you're a food manufacturer in the middle of a rural area, your labor situations probably more manageable, and that's what we see. Our labor situation primarily shows up in our box plans, which are near cities and near a lot of labor competition. Our mills are more rural and they are in much better shape from a continuity of labor.
Mike Roxland: And just following up on that quickly, so would you say that your demand and your ability to satisfy your demand is better away from major cities?
Mark Sutton: No, not really. No, I was just making the comment on labor. The problem with being away from major cities in the box business, unless it's a food processor that's located rural, that's where the customers and box users are. So you -- it's a theoretical statement to say, I wish my box plants were away from cities. Most of the manufacturing products are near population centers on the box side. But if you go upstream in the value chain to where the container board is made, it's made near the forest, of course, in most cases. And so, it's just a less populated area. So labor availability and long-term labor loyalty to there employer is a lot higher.
Mike Roxland: Got it. Just one quick follow-up. Just on Europe Industrial Packaging was negative feedback, 4 million for the quarter. Just some of the issues that drove that loss this quarter?
Mark Sutton: I think the biggest issue in Europe, I think that's what you asked about Europe Packaging. There's 2 issues going on. We have one large recycled containerboard, so they're 100% exposed to the recovered Fiber market. And that cost really, really rose. And then you have the kind of unprecedented natural gas cost issues in Europe. And it will take a little bit of time for product pricing to catch up with that. So it was more of a timing quarter issue than a structural issue.
Mike Roxland: Got it. Thanks again and good luck in the fourth quarter.
Mark Sutton: Thank you, Mike. Listen, you can tell from our conversation this morning, the questions and even our prepared remarks. It's really easy to live in this moment of craziness in the supply chain and really kind of dwell on it. But I'm personally confident that we'll continue to manage and overcome what we're dealing with today. We've got a tremendous team that's skilled [Indiscernible] operating and they do a great job every day, every week, every month. We do expect, as I mentioned in prepared remarks and in some of the answers to the questions that we expect our margins to recover further in the fourth quarter and we expect to be heading into 2022 with significant momentum. I'm equally confident and very optimistic about our future. We just showed you 2 slides today on some of the value drivers. We have a lot more to share with you as we go forward. We have the right plan, the right people to deliver on our commitments, to build a better IP. Tim took you through our capital allocation framework. I'll say it again, we haven't been in this position on cash generation and cash return ability in almost forever. And we're excited about building a good portion of our total shareholder return on -- return of cash to shareholders, dividend, share repurchase. And then the value drivers and the focused IP delivers the other half, which is going to come with the profitable growth that we have in our sites. So thank you for your interest in International Paper. We'd really look forward to speaking with you again in the future.
Operator: Thank you for participating in today International Paper, third quarter 2021 earnings conference call. You may now disconnect.